Operator: Good morning. My name is Michelle and I will be your conference operator today. At this time, I would like to welcome everyone to the Q1 2017 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Mr. Tim McIntyre, you may begin your conference.
Timothy P. McIntyre - Domino's Pizza, Inc.: Thank you, Michelle, and hello, everyone. Thank you for joining our first quarter 2017 earnings call. As you know, this call is primarily for our investor audience, so I kindly ask that all members of the media and others be in a listen-only mode. I also refer you to our Safe Harbor statement that is in this morning's 8-K release in the event that any forward-looking statements are made this morning. Today, we will start with prepared comments from our Chief Financial Officer, Jeff Lawrence, and our Chief Executive Officer, Patrick Doyle, followed by your questions. And with that, I'd like to introduce Jeff Lawrence.
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Thank you, Tim, and good morning, everyone. In the first quarter, our positive global brand momentum continued as we once again delivered strong results for our shareholders. We continue to lead the broader restaurant industry with 24 straight quarters of positive U.S. comparable sales and 93 consecutive quarters of positive international comps. We also continued to increase our store count at a healthy pace, which we believe is more evidenced that our brand is strong and growing. Our diluted earnings per share was $1.26, which is an increase of 41.6% over the prior year quarter. This increase resulted from outstanding operational results, as well as our adoption of a new accounting standard, which I will discuss in more detail in a moment. With that, let's take a closer look at the financial results for quarter one. Global retail sales, which are the total retail sales at franchise and company-owned stores worldwide, grew 13.2% in the quarter. When excluding the impact of FX, global retail sales grew by 15.2%. The drivers of this retail sales growth included strong domestic same-store sales, which grew by 10.2% in the quarter. Our U.S. franchise business was up 9.8%, while our company-owned stores were up 14.1%. Both of these comp increases were driven by order count or traffic growth as consumers continue to respond very positively to the overall brand experience we offer them. Our Piece of the Pie loyalty program continues to contribute significantly to our traffic gains, while overall ticket decreased slightly during the quarter. On the unit comp front, we are pleased to report that we opened 28 net domestic stores in the first quarter, consisting of 29 store openings and 1 closure. Our international division had another solid quarter as same-store sales grew 4.3%, lapping a prior-year increase of 7.9%. Our international division also added 161 net new stores during Q1, comprised of 175 store openings and 14 closures. On a total company basis, we opened 189 net new stores in the first quarter. Turning to revenues. Total revenues were up 15.8% from the prior year. This increase was primarily a result of increased global comps and store count growth, which drove higher supply chain volumes. Currency exchange rates negatively impacted international royalty revenues by $1.5 million versus the prior-year quarter due to the dollar strengthening against certain currencies including the British pound. For the full fiscal year, we continue to estimate that foreign currency could have an $8 million to $12 million negative year-over-year impact on pre-tax earnings and as you know, there are many uncontrollable factors that drive the underlying exchange rate which does make this a harder part of our business to predict. Moving on to operating margin, as a percentage of revenue, consolidated operating margin for the quarter was flat at 31.0%. The operating margin in our company-owned stores decreased to 23.2% from 24.6%, driven primarily by higher transaction-related expenses, higher food and labor and a slightly lower ticket. Lower occupancy expenses as a percent of sales benefited the operating margin and partially offset these decreases. Supply chain operating margin increased to 11.7% from 10.9%. The primary drivers of this increase, when compared to the prior year quarter, were lower food cost and to a lesser extent a leveraging impact of higher volumes, offset impart by increased labor and delivery costs. There was a very strong domestic volume growth this quarter and even stronger volume growth in Canada. Market basket commodity costs to stores increased slightly this quarter. We continue to estimate at the domestic stores commodity costs will range from flat to up 2% in 2017 from 2016 levels. Before we leave operating margin, I'd like to also note that franchisees in the U.S. continue to share in our success with record supply chain profit sharing checks that they have earned alongside of us with great execution and performance. As I've mentioned before, we expect to make additional investments in supply chain in the near-to-medium term to keep up with our rapid growth. Let's now shift to G&A. G&A increased by $9.3 million in the first quarter versus the prior quarter, driven primarily by three factors. First, our planned investment in technology, predominantly in e-commerce and other technological initiatives and the teams that support them. Please note that these investments are partially offset by fees that we received for digital transactions from our franchisees which I recorded as franchise revenues. Second, our strong performance like the higher performance-based compensation expense and third, higher advertising expenses at our company-owned stores which increased as a result of our positive sales growth. Moving down the income statement, interest expense decreased slightly in the first quarter and our weighted average borrowing rate was 4.6%. Our reported effective tax rate was 31% for the quarter. As previously communicated, we adapted a new accounting standard this quarter which requires us to record the excess tax benefit and equity-based compensation as a reduction to our income tax provision on the P&L. Previously, these tax benefits were recognized directly in the equity statement. As a result of this new standard, there was a $6.5 million decrease in our first quarter 2017 provision for income taxes which resulted in a 7.2 percentage point decrease in the first quarter 2017 effective tax rate. Again, the economics have not changed, just the way we are required to present it. The 2016 amount has not been reclassified to match this presentation. We expect that we will continue to see volatility in our effective tax rate because of this accounting standard change and, as such, we'll not be giving further guidance on our expected future effective tax rates. To give you a sense of the magnitude of the potential future tax benefit, I'll direct you to our equity incentive plan footnote in our 10-K. This will give you the intrinsic value of outstanding options at the year-end 2016 stock price. When multiplied by our tax rate, this gives a then current approximation of the excess tax benefit amount that could be recognized in future periods. I'll remind you that this number will change based on the stock price and option and share activity, but we do expect to see a continued future benefit from the adoption of this accounting standard. When you add it all up, our first quarter net income was up $17 million or 37.4%. Our first quarter diluted EPS was $1.26 versus $0.89 last year, which was a 41.6% increase. Here is how that $0.37 increase breaks down. Our lower effective tax rate positively impacted us by $0.12, including the $0.13 impact from the adoption of the new equity-based compensation accounting standard. Our lower interest expense positively impacted us by $0.01. Lower diluted share count, primarily as a result of share repurchases, benefited us by $0.04. Foreign currency exchange rate negatively impacted royalty revenues by $0.02, and most importantly our improved operating result benefited us by $0.22. Now, turning to our use of cash. During the first quarter, we repurchased and retired approximately 80,000 shares for $12.7 million at an average purchase price of approximately $158 per share. During the first quarter, we also made $9.6 million of required principal payments on our long-term debt. Our quarterly dividend of $0.46 a share totaling $22.1 million was paid to our shareholders after the first quarter ended. As always, we will continue to evaluate the most effective and efficient capital structure for our business, as well as the best ways to deploy our excess cash to the benefit of our shareholders. All in all, our fantastic momentum continued, and we are very pleased with our results this quarter. And with that, I'll turn it over to Patrick.
J. Patrick Doyle - Domino's Pizza, Inc.: Thanks, Jeff, and good morning, everyone. I am very pleased at another outstanding quarter and a terrific start to 2017. Our franchisees and operators worldwide continued stepping up to the challenge of sustained success, and I wake up each day proud to be a part of a brand and culture that is truly inspiring, one that keeps us looking forward at how we can and must improve every day. We have an uncommon passion for what we do, and our performance during the first quarter certainly demonstrated that yet again. As we discussed at our Investor Day, our performance is the result of many years of reshaping our brands, improving our food, investing in our digital capabilities, reinvesting in our stores, and most importantly, building a team of the best people in the restaurant industry, both working for our company and throughout our global franchise system. Our story is one of a true long game approach, riddled with difficult decisions, reset priorities, and smart risks, which, while they took time to bear fruit, eventually reshaped our brand and system. I say all of this because we are often asked about which specific activities are driving our near-term success. And while our great analytics give us many of the answers, we know that the cumulative effect of a lot of long-term decisions over many years is what is ultimately driving our success. Our near-term success is the result of decisions and investments made three, five, or 10 years ago by our franchisees and by the company. It's that commitment to the long term, combined with great short-term execution for our customers, that makes me so proud of our team, our 800 outstanding franchisees in the U.S., and our master franchisees and team members around the world. And it's the investments we're all making in new stores, better food, better digital and stronger teams that will ensure our results continue to be strong in the coming years. Our performance in the U.S. just continues to impress me. Our 24th consecutive quarter of positive same-store sales growth also marks another impressive figure. Eight of our last 10 quarters resulted in double-digit sales growth domestically. But, as I just said, what impresses me the most is not what we've done, but how we've done it: through consistent strategy, a research, disciplined approach and constant focus on long-term fundamentals rather than seeing things in a short-term, quarter-by-quarter way. I'm incredibly pleased our franchisees, corporate operators and team members have shown such phenomenal alignment. We opened 28 net new stores in the first quarter, a nice start as we continue to focus on this opportunity within our business. I continue to be pleased with our domestic store growth momentum and the commitment our franchisees and internal team has shown. They are more focused as a team on growing our system than I've seen in many years. One of the areas we focused on domestically during the first quarter was technology, as our digital leadership continues to strengthen. We are in the midst of a national ad campaign revisiting something in our back catalog of innovation that is no less to this day a fan-favorite, Domino's Tracker. This is very cool. It's one of our foundational innovations and was our breakthrough hit with customers. It helped demonstrate our forward-thinking approach early on as it was initially developed and launched back in early 2009. And for those of you who have seen the commercial and think I might now drop my favorite Ferris Bueller line on today's call, not going to happen. But with that, it's a great ad and nice to have some fun with our digital fans and customers while revisiting a pioneering piece of technology, first delivered by Domino's last decade. We also continue to raise awareness for our Piece of the Pie Rewards loyalty program and recently held our first Loyalty Member Appreciation Week, offering double points to our digital rewards program members for a weeklong time period earlier this month. The simplicity of this program continues to be very well-received by customers, and the focus on driving frequency continued to be a meaningful contributor to sales performance during the first quarter. And lastly on the technology front, we introduced the latest in a new wave of anywhere ordering platform innovation, the ability to start and complete a new order from scratch without the need for a profile or saved Easy Order. Customers can now order this way through Facebook Messenger and Google Home, with more to come. This is very exciting. It's the next major step in the evolution of our ever-growing suite of unique and forward-thinking ordering platforms, which continue to be unmatched within our competitive space. Our international performance in the first quarter was solid, facing a strong sales comparison from the year prior. The best international model in QSR continued to show its strength, with our diverse portfolio of over 85 markets and growth potential that continued into the first quarter with 161 net new store openings. We also had a very exciting event earlier this month, celebrating the opening of our 14,000th store worldwide in Cyberjaya, Malaysia which was only eight months after cutting the ribbon on our 13,000th location. This demonstrates our continued runway for growth within our international geographies, both new and existing, in developed and emerging markets. We have now reached 93 consecutive quarters of positive same-store sales in our international business, a streak that continues to amaze me. Our store reimaging program, Domino's PULSE and global online ordering implementation, are all on track with where we expect. And the long-term opportunity for this rock solid business segment continues to be very strong. In closing, our momentum continued into the first quarter, and 2017 is off to a tremendous start. Our long-term approach continued to pay off and our reliable fundamentals continue to drive what we do and how we do it. I'm grateful to once again report positively on and represent a global franchisee base that is second to none and a system that has truly never been more aligned on our goal of sustaining success as 2017 continues. We know this is earned and are more motivated than ever to continue to achieve it. Thanks, and I'll now open it up for questions.
Operator: Your first question comes from the line of Gregory Francfort from Bank of America. Please ask your question, sir.
Gregory R. Francfort - Bank of America Merrill Lynch: Hey, guys. Just one quick question on the supply chain margins and not necessarily the margin percentage but the margin dollars, I think up 24% this quarter. I guess what's driving that, and I guess when is the investment coming? I guess, should we be thinking about that as a near-term headwind or maybe in the next year? Or I guess what's the timing on when you might reinvest there?
J. Patrick Doyle - Domino's Pizza, Inc.: You're going to see investment this year and as we expand the capacity. So, yeah, that's coming soon. The primary driver of growth in supply chain was volume growth. And remember, not only are we having terrific top growth domestically and in Canada, it was actually even stronger in Canada than in the U.S. It is all order growth. And on top of that, you've got store growth coming out. So if you look at total kind of pounds of foods sold through our supply chain, there are a lot of factors that are playing in there to pretty tremendous growth in food shipped out to the stores.
Gregory R. Francfort - Bank of America Merrill Lynch: Got it. But I guess my question is like it's – a 24% growth if the comps were 10% and the units were up low-to-mid single digits. I guess there must be – are you signing on more franchisees? I guess, what's the delta there?
J. Patrick Doyle - Domino's Pizza, Inc.: No. I mean, that's – you're doing the math and add on some for Canada as well, and overall, it's about scale. And with that kind of volume going through, they're just efficiencies that are coming with it, and it was a very, very strong quarter.
Gregory R. Francfort - Bank of America Merrill Lynch: Got it. Thank you very much.
Operator: Your next question comes from the line of Matt McGinley from Evercore ISI. Please ask your question, sir.
Matthew Robert McGinley - Evercore Group LLC: Great. Thank you. On your international franchise revenue, the way that we look at that is we do a revenue build and we look at the comp and the unit growth and then we adjust for the FX. And there's always a little bit of delta there that's usually changing royalty or new unit productivity. Delta was pretty big this quarter. Do you know what drove that in this quarter? Did you just open the stores up later in the quarter and that you didn't get the list from that or the revenues from that or did something else happen?
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Yeah. When you kind of do – this is Jeff. When you kind of do that rough math, Matt, you've obviously got the royalty contractual rates which really haven't changed the bunch. I think the one thing you need to remember though is you have $250,000 or so conversions that we've got done in 2016 that are rolling through. And again, as we share in the investment upfront as those guys invest in the brand and change at all their leaseholds, we do typically provide some royalty relief there for the first year to two years depending on kind of their performance. And then, the other stuff we have rolling around in there in some of the global online ordering platform revenue. So as those two things kind of – both kind of ebb and flow quarter-over-quarter, you may see some movements in that rough math.
Matthew Robert McGinley - Evercore Group LLC: Got it. Thank you. On the store level margin, in the Q, you broke out the big buckets of what moved that margin around the quarter. And this quarter, the drag was from food and the transaction expense. We don't have every line item, but when I kind of bucket all the other stuff that's in there, it looked like it grew at around the rate of sales growth. So, the question is that, given most of the other things that you're having there, tend to be fixed like rent and zone and utilities, why didn't you get more leverage on that line item with the 14% comp? Was there something else in there that it increased at a faster pace?
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Yeah. I mean, I think you mentioned transaction-related expenses, that's some of the charge-backs we talked about. Obviously, credit card usage continues to go up. You're going to get a little bit there. On the food side, specifically, we did have a little bit of a lower ticket as we've been running really effective marketing and advertising, both looking after our delivery business. But also ever increasingly, our fantastic carryout business which does have a little bit of a lower ticket, you're getting a little bit of a math problem there, playing with the percentages as well. What I would point though, too, is that's a really good thing to have because we're really growing carryout and delivery still at a very healthy pace. But because you have different amounts of food in those baskets, because you have different ticket, you can play around a little bit with the percentages but to us, as we look at that, it's good news. But what I can tell you is if the food is not going up as a percentage because of waste or ineffectiveness in the stores, it's really more of a math problem.
Matthew Robert McGinley - Evercore Group LLC: Okay. Great. Thank you.
J. Patrick Doyle - Domino's Pizza, Inc.: Thank you.
Operator: Your next question comes from the line of Brian Bittner of Oppenheimer. Please ask your question.
Brian Bittner - Oppenheimer & Co., Inc.: Thanks. Thanks, guys. Good morning. Back to the supply chain. Obviously, something happened there where it really flexed. It's mostly on the profits, more so than it has, I think, in recent high-volume growth quarters. So just trying to think about that going forward, you talked about the investments coming for that, that part of the business to keep up with the volume growth. Are you able at all to put some guardrails around what the expense magnitude may be as you kind of expand the capacity there? I mean, I know it's going to come with some CapEx. But as far as the fixed costs that come into that business, so we can kind of think about how to model that business going forward.
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Yeah, Brian. It's Jeff. I mean, again, just to reiterate what Patrick said, I mean, first and foremost, this is about healthy volume growth in the U.S. business and Canada. Again, we do deliver food to all of our franchisees in Canada as well, and they actually grew, hard to believe, but actually grew faster than the U.S. business in Q1. On the CapEx side, the supply chain stuff is really baked into the $75 million estimate, I gave you all in January at Investor Day. And again, that can flex. Depending on how fast we grow our brand and the additional capacity we think we need to grow over time, we are going to make those investments, whether it's a little bit more or a little bit less than the current estimate. So there's still some to play out there, but our supply chain team is zeroed in on the investments that they need to make to continue with the impressive growth of the brand and again, it's about volume growth. And I did mention in my prepared remarks, we have a unique setup here at Domino's where we share 50% of our profits in our supply chain system. As our franchisees in the U.S. and Canada continue to execute at just a phenomenal rate and pace, they share $0.50 out of every dollar that we make through that system. So we really like that alignment, we love that they're winning with us, with profits here. And as I mentioned, their profit sharing checks are at an all-time record high right now. So it's on us to get these capacity investments made. We've zeroed in on them and we will be swinging hammers very shortly here.
Brian Bittner - Oppenheimer & Co., Inc.: Yeah, the profit sharing agreement is working out well for them. And then I just had one more question, obviously, we're in the business of trying to project your business going forward and being on the outside looking in, I was wondering if you guys could shed light on how you think about the core trend internally. Do you guys kind of think about things on a three-year basis when you talk about the business going forward or is it some other way? And that's not me, that's not me trying to get the comp out of you. I'm just literally wondering because it's been such an incredible cycle here of same-store sales. I'm just wondering if there is a certain way you guys kind of look at that internally that cycle.
J. Patrick Doyle - Domino's Pizza, Inc.: No. I think, Brian, that the real answer is kind of in the set up I was giving which is we made a decision a number of years back now that we were going to look at the long term on this business fundamentally, exclusively. And that is something that you can only do obviously if the near term is working. But our view is that if you keep your eyes up on the long term, if you're looking out three to five years on the business and you're making investments on that kind of a time horizon, a lot of the competition out there, frankly, doesn't look at things that way. And so, we do that and obviously at some point, if you're doing that right, the short-term gets better and gets easier, and kind of starts taking care of itself and that's what we've been seeing. What I would reiterate for you is that on both our domestic and international business, when we look out in kind of the medium term, we have guided you to 3% to 6% comps for both the domestic and international business. And so that's when we look out, that's where we think it's going to be, kind of over the medium term, we're right in the middle of that range with our international business and we're clearly still well above that range on the domestic business. But in terms of looking at the one year, two-year stacks, three-year stacks, sure, of course, we're looking at those. But at the end of the day, our focus is on how do we continue to make this a better experience for our customers next year than it was this year. And while we have done some new product launches, we always try to remind ourselves that the typical customer orders kind of their favorite pizza on an ongoing basis. And so, if somebody is a pepperoni pizza customer, how are we going to make that experience better for them next year than it is this year, that's what's ultimately going to drive growth in the business.
Brian Bittner - Oppenheimer & Co., Inc.: Yeah. Thanks for that.
Operator: Your next question comes from the line of Karen Holthouse of Goldman Sachs. Please ask your question.
Karen Holthouse - Goldman Sachs & Co.: Hi. One quick housekeeping question. In the international unit growth number this quarter, how many of those were conversions?
Jeffrey D. Lawrence - Domino's Pizza, Inc.: A real small number. We didn't disclose it but it's not at the rate and pace that we saw in 2016 as we told you we expected.
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. And remember, Karen, what we did talk about is the fact that that process is done in South Africa, it's done in Germany. So the only place where there was a little bit of activity was in France. We have disclosed that there is a smaller chain in Norway may get converted, but that activity is basically in the rear-view mirror as of the end of 2016. There will be a little bit but in 2017, that's going to be a relatively immaterial part of the overall growth.
Karen Holthouse - Goldman Sachs & Co.: Great. And then on the store margin side of things, the increase in transaction fees – which we really started to see that sort of spike last year. Is there any piece of that that's tied to regulations around the world of chip and PIN technology, where that growth rate might sort of moderate a little bit once we start lapping that?
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Yeah, Karen, it's Jeff. We have the EMV readers in our 400 corporate stores in the U.S. With that obviously and, being such a digital presence to the extent that there is any transactional-related expenses on chargebacks, you can see that exacerbate a little bit, particularly in some of the urban markets that we are in. We are seeing that. It is a challenge for us. But we've got resources dedicated against it to try to manage it the best we can. The other thing buried in transaction-related expense increase is the fact that more and more customers are choosing to use credit cards with us over time, as you would expect with most QSR folks that have a digital presence. So a little bit of both of those things. On the credit card side, we're happy to take those as payment from our customers if that's what convenient for them. I would expect that trend to kind of continue most likely. On the chargeback side, it's an area of opportunity for us.
J. Patrick Doyle - Domino's Pizza, Inc.: And, Karen, the only thing I would add is, and you've been reading probably the same things we've been reading on, it is the consensus seems to be that as EMV readers rolled out in the U.S., they saw the same thing happen in the U.S. as happened in Europe, which was fraud levels did not change. They just shifted from retail to online. And our experience is that that assessment looks correct.
Karen Holthouse - Goldman Sachs & Co.: Well, and then if you look at just given that – your digital presence and the amount of orders that go through the website and increasingly through the rewards program, looking at other restaurants that have pretty dominating digital presences, are there opportunities to work around partnerships or create an incentive for stored value that could mitigate just sort of that overall transaction cost over time, either because shifting people to bigger transactions or actually working with a partner that's actually a less expensive processor?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah, I guess what I'd tell you, Karen, is that right now, we are primarily focused on how do we drive the fraud out of the transactions on kind of a direct basis. And so all of the other things that you kind of discussed there, but we look at those frankly separately. We're not going to do those things simply because of how they might affect fraud. There would have to be a really good customer reason for – you talked about stored value or some of the other things – for doing that. And yeah, we certainly review partners and looked at the outside kind of fraud prevention groups and are doing some things internally. And I think the answer is, like fraud at retail, it is an ongoing battle and something that we are certainly very much on top of and engaged in and putting resources on, but not something that is likely to go away. It's really going to be something that you just manage on an ongoing basis, and we look forward to the credit card companies looking at technologies that might effectively combat that online.
Karen Holthouse - Goldman Sachs & Co.: Great. Thank you.
Operator: Your next question comes from the line of Peter Saleh of BTIG. Please ask your question.
Peter Saleh - BTIG LLC: Great. Thank you and congrats on the quarter. I just wanted to ask about the gap in same-store sales between the company and the franchise. It looks like it was about 430 basis points this quarter. Probably one of the widest gaps we've seen since maybe 2008. So can you just talk a little bit about what's going on there and what are the reasons behind that, such a wide gap versus previously?
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Yeah, Pete. It's Jeff. One thing I think, and again – not that we're proposing you use a two-year stack or a three-year stack any better than any other stack. But if you look at a two-year stack, the gap between franchise and our 400 corporate stores isn't as wide. The other thing, I think, though that's probably driving some of that is, our team USA corporate store footprint skews a little bit more urban on average than all of our other franchise stores in the U.S. and as a result of the fact that our company-owned stores were really adopters of digital and online a little bit quicker than our franchise stores, years and years ago. You're seeing a little bit more digital mix in our corporate stores, which means that the impact of loyalty and the tailwind we're getting from that is a little bit more as well. So I think it's all those of things kind of put together. But listen, geographically, regionally, our franchisees are doing well, our corporate stores are doing well, and that's not a gap that we're concerned about.
Peter Saleh - BTIG LLC: Great. And then just want to ask about the advertising spend. I think Patrick mentioned eight of the last 10 quarters you had double-digit comps. We assume the ad budget's growing pretty significantly. So where are the incremental dollars on the advertising side being spent?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. Really the answer is across the board. We continue to get a great return on television, and our television spend is up but we're also finding great places to spend it on digital and that continues to grow as well. So it really has been across the board.
Peter Saleh - BTIG LLC: All right. Thank you very much.
Operator: Your next question comes from the line of John Glass of Morgan Stanley. Please ask your questions.
John Glass - Morgan Stanley & Co. LLC: Thanks very much. Just first just a follow-up, you mentioned check was lower in the corporate stores and transactions were higher and you cited take-out mix for example. Is that true system-wide too that transactions would have exceeded the 10% comp?
Jeffrey D. Lawrence - Domino's Pizza, Inc.: Yeah. So both the corporate stores and the franchise business driven by traffic ticket in both, just slightly down.
John Glass - Morgan Stanley & Co. LLC: Okay. And then there was just some chatter this quarter about progression of sales in the industry being softer in some months versus others. Did you see that variation or were the sales pretty stable across the quarter?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. We're not going to get into the mix within the quarter. I think as you're used to it, that's kind of our standard approach.
John Glass - Morgan Stanley & Co. LLC: Okay. And then my follow-up question is the day when GrubHub reports a very strong user, up significantly – this conversation about how people trade different kind of delivery services now. If you're looking for evidence that Domino's wasn't really vulnerable to that, could you play to those company store comps you said they were in urban markets and I don't know which urban markets they are. But that's typically where these delivery services are strongest. I mean, is that a good piece of evidence in your mind that other delivery isn't really impacting your business or how do you measure that if it's not?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. John, I think at some level that's true. And I mean, effectively, all of our corporate stores are within areas that would have those services now. There might be a couple that are outside of that. And I guess what I would say is that our answer on this remains the same as it has been before which is to date, we have certainly not seen any evidence that the growth of both aggregators on the digital side or increase in delivery activity has had any effect on our business.
John Glass - Morgan Stanley & Co. LLC: Jeff, just one – I'm sorry, just one more accounting question. Did the change in the tax rate, did that impact the share kind of the way you calculated share count at all? Is that purely just a tax rate change?
Jeffrey D. Lawrence - Domino's Pizza, Inc.: It primarily runs through the provision line item. There is a small impact that runs through the denominator of the share, but it's very small. And just as a reminder, that $6.5 million running through the provision is real cash. That's the real break that we will get on our taxes when we file them.
John Glass - Morgan Stanley & Co. LLC: Okay. Thank you.
J. Patrick Doyle - Domino's Pizza, Inc.: Thanks, John.
Operator: Your next question comes from the line of Jeffrey Bernstein of Barclays. Please ask your question.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you very much. Just on the delivery side of things, maybe following up to that last question, is there any – I think you've talked about this in the past, but is there any way for you to monetize or take advantage of the ramp-up in delivery that the – or online ordering, perhaps? And you obviously have the expertise from a technology standpoint in online ordering and delivery. Peers would love to get some of that help, whether inside or I'm guessing more like the outside of the restaurant industry. I'm not sure whether that's ever an option or something that you'd ever consider to outsource some of your skill sets to those that could use it if it wasn't a competitive intrusion to you?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. You are right in all of your assumptions, and there are those in the industry who have thought that we might be a great partner on those. And our answer has continued to be and remain that the competitive advantage that we've created in digital and in delivery is something that we're going to use to grow the Domino's brand. And I guess, the only thing I would say on that is that if our share of the business were double or triple what it is today, I suppose you might think about that a little differently. But when you're sitting, selling one in six pizzas or one in seven pizzas in the U.S., there's an awful lot of growth for us in sticking to our knitting, and I think our results are kind of evidence that the potential distraction of doing it for others is not a risk really worth taking.
Jeffrey Bernstein - Barclays Capital, Inc.: Got it. I figured – I'm sure these discussions have been had before. And then just a follow on to that earlier question regarding these third-party services. I mean, despite the outsized U.S. company you're putting up, it doesn't seem to be having a negative impact on you, are there any signs of the small- and mid-sized players are starting to capitalize on the third-party online and delivery options, maybe just growing their own share and just demonstrated that the overall pizza category is even growing faster than it has been before? Again, seeing that it's not necessarily having an impact on you, but how do you gauge these small- and mid-sized players maybe starting to capitalize on that even if it's not as profitable for their bottom line?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. I think what I would say is you're seeing a lot of people experimenting with it right now and learning about it and trying some of the different services, both on the aggregator side and on the delivery side. But I don't know that I have seen evidence that it's changing the trajectory of anybody's business at this point.
Jeffrey Bernstein - Barclays Capital, Inc.: Got it. And just lastly, just to clarify the tax discussions and I know you say you're not going to give guidance going forward for an effective tax rate. But is there any reason that it wouldn't be a benefit through all four quarters of 2017? Obviously, it could be two different magnitudes but just trying to figure out whether we should be stripping something like that out or whether there's some reason why next quarter to be totally different and therefore, we should look at each quarter kind of independently?
J. Patrick Doyle - Domino's Pizza, Inc.: So Jeff, the answer is these effects are going to happen based on when people exercise stock options. And so it is only predictable if you can predict when people are going to choose to exercise their options. The only thing that I would say that will maybe help on that is when you look at our K, it does give you a sense of under the equity incentive plans, it gives you a sense of kind of the average life left on those options. And so you're going to have some sense but people can leave the organization, people can decide they're going to exercise early or later, that's why it's going to fluctuate. I mean our tax rate is clearly going to move around. But short-term predictability on that is not going to be easy.
Jeffrey Bernstein - Barclays Capital, Inc.: Got it. Thank you.
Operator: Your next question comes from the line of Alton Stump of Longbow Research. And please be reminded to limit your questions to give way to other participants. Please ask your question, sir.
Alton K. Stump - Longbow Research LLC: Good morning.
J. Patrick Doyle - Domino's Pizza, Inc.: Good morning, Alton.
Alton K. Stump - Longbow Research LLC: I just had actually two quick questions. First off, on unit growth here domestically, up, about 3.5% versus last year. I think that's quite a biggest number I've seen in over 10 years anyway. In the past, you've talked about the opportunity to add 1,000 stores in the U.S., but you've added now almost 200 over just the last five quarters. So is that 1,000 store number still valid even with all stores you have added and just kind of adds up beyond that, or could there be further upside to that down the road?
J. Patrick Doyle - Domino's Pizza, Inc.: No. There could be further upside. I mean, we've always said there is at least another thousand. And I think as I've said before, we've been saying there is at least another thousand for a while even as the store count has grown. So we are continuing to see more opportunity for kind of full buildout in the U.S. than we did in the past. And I think there are two things that really play into that. First, as our comps have gone up, as our same-store sales have gone up, it has made more and more stores viable than may have been viable in the past. So as we're able to pull more sales per household out, which has been kind of the primary driver of our comp growth over the course of the last five, seven years, that means necessarily that areas that you may have looked at before and said I'm not sure if the stores are going to work there, now you get more optimistic about that. The other thing I would say is population continues to grow in the U.S., little bit under 1% a year. And so the way I look at it is on our store base, if we're not growing 50 or 60 stores a year, we're not even keeping up with population growth in the U.S. So, yes, we continue to believe that there are at least a thousand more. That number has gone up in terms of what we think the potential is versus the past, and it's something that we're continuing to assess. But in any sort of near- to medium-term basis, we're not seeing real constraints on our ability to continue to grow stores.
Alton K. Stump - Longbow Research LLC: Very helpful. Thank you. And then just one quick housekeeping follow-up. A, was there any benefit from the Easter shift in the first quarter, and could that be a headwind for 2Q? And then – and also secondly, if I recall, I think weekday was not included or was not a benefit in first quarter 2016, is that accurate or not?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. I think what I'd say is kind of what we've always consistently said, which is most of those shifts and weather and all of that short-term stuff is just not big enough that it makes that material difference. And so, honestly, we try to not spend a lot of time worrying about that. There will be an individual day where we'll wake up in the morning and our sales will be dramatically up or dramatically down, and our adrenaline has to go down after 30 seconds when we realize, oh, wait, it was Easter a year ago or New Year's Eve or whatever. But overall, particularly if the kind of comps that we're putting up, it just doesn't have a material effect on that growth rate.
Alton K. Stump - Longbow Research LLC: Got it. Thanks so much. New Year's Eve. Thank you.
Operator: Your next question comes from the line of Chris O'Cull of KeyBanc. Please ask your question.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Thanks. Patrick, would you talk a little about how the system is planning to adjust to menu labeling laws?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. We're going to be compliant next Friday. And our website, all of our digital ordering already is. When you get to the checkout page, the calories are there and listed. And so, we will comply with whatever law is in place next Friday, and currently, it will be in place next Friday.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Is there a significant expense burden associated with doing this for franchisees?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah, there is. I mean, for the system and for the franchisees, I mean, you're looking at a few thousand dollars per store that they have to invest in store. And so, our point of view has been and remains that we've been disclosing calories for, I think 12, 13, 14 years now. There is a really good way to do it where our customers are making decisions. 60% of our business is digital now, and that's the best, most efficient place to do it. And if you're calling on the phone, then you're not going to have it there, and the best way to access it if you're calling on the phone, is also going to be online. And so, we think that's the right way to do it. It's the efficient way to do it. And we've had a pretty strong point of view around that, but we will certainly comply with whatever laws are there. And frankly, the cost is really about putting things up in the stores, and we don't think that's going to have any effect. In fact we know, based on having rolled it out a number of years ago in New York, that it doesn't have any effect on customer behavior, because in the store is not where people are ordering, and the range of calories that are posted are frankly not helpful for the customer in making a decision, even if they do line up in the store to place an order.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Okay. Great. Thank you.
Operator: Your next question comes from the line Matthew DiFrisco of Guggenheim Securities. Please ask your question.
Matthew DiFrisco - Guggenheim Securities LLC: Thank you. I have a two-part same-store sales question. With respect to the comp, I mean, you've had now four years of greater than 5% same-store sales. I wonder, as we might be getting into a period where maybe in the second half, if you were to drop below that sort of level of 5% or so, how do you think the franchisees might respond to that, or is there some change to promotional scheduling or advertising that you might come out? Or is it not that big of a difference to them optically to start to experience that? And then the other thing, I guess, just with respect to same-store sales, you've done a phenomenal job, and a lot of us have asked a lot about what you've seen intra-quarter and versus your peers and everything and versus the new delivery entrants. Is it safe to say that we're still – what's your opinion on how early are we in this trend with delivery? And is this something – maybe in aggregate, it's not bad. There is a reason why people are getting into delivery more because it's trending well. So are we seeing an acceleration? What are you seeing out there as far as the demand for food delivered to homes? Thanks.
J. Patrick Doyle - Domino's Pizza, Inc.: Our delivery is up materially. But as Jeff was saying before, our carryout was actually even up a little bit more in the first quarter. So both parts of our business are growing very, very strongly. And I guess what I'd say is this new trend towards food delivery is something that we started three years before I was born, in 1960. And our founder in 1960 was pretty convinced it was a good idea, and he's a smart man and he was correct. Bringing people their food is a really good idea. It is really difficult, and I think people continue to underestimate how difficult it is to do efficiently and give consistent service to your customers. And so stay tuned as people talk about executional issues and margin effect and all the rest of it. Delivery is not easy, and we will see how all this plays out, but we're growing our delivery and our carryout business. And as it relates to the first part, we have determined that our franchisees are happier the faster sales are growing. But we've been producing record profit year over year for a number of years now at the store level. That remains what we believe is one of the most critical metrics for the financial success of a mostly franchise business, and we remain committed to focusing on that hard. And our long-term guidance is 3% to 6%, but certainly we like it even better when we're above that.
Matthew DiFrisco - Guggenheim Securities LLC: Excellent. Thank you so much.
Operator: Your next question comes from the line of Sara Senatore of Bernstein. Please ask your question.
Sara Harkavy Senatore - Sanford C. Bernstein & Co. LLC: Yes. Thank you very much. One question and then a follow up on something earlier. I guess, I'll start with the – maybe I'll start with the follow-up, and this is on the idea of sort of value competition, because I know that – it looks like other national players seem to be ceding a lot of ground now. Your long-term view is that it's more consolidating the market and smaller players. But I guess, could you just talk a little bit about the competitive environment? Are you seeing a step up in promotional intensity, or rather is it something that if it happens, you can match that? In the sense that do you think your system is better positioned to offer really good value? Because again, that seems to be a place that you're really winning right now, so competitive intensity and your advantage there? And then I'll have a quick follow-up on the loyalty program, please.
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah, so I don't see any difference in competitive intensity versus what we've had in the past. We believe that our efficiencies in our system do give us real competitive advantage. And while food costs are pretty benign, you are seeing,- certainly in some markets, some pretty good inflation rate in wages, and a lot of it is healthier, a lot of it is coming in places simply because that's what you've got to pay to staff your stores. So we all have to deal with that. And I think the efficiency that we have and our scale gives us some advantages, and that's been certainly part of the story around why we've been consolidating share.
Sara Harkavy Senatore - Sanford C. Bernstein & Co. LLC: Great. And then just on the Piece of the Pie, I mean, you mentioned that that's been a big driver and very effective. As you think about lapping that this year, do you envision any changes to it? In particular, it can be very effective at driving ticket if you're still inclined but typically, to do that, you need to reward spend. So, anything as you think about this year or coming years, an evolution of that program that we might see?
J. Patrick Doyle - Domino's Pizza, Inc.: Well, certainly nothing that we're going to talk about going forward. What I would say is that we think the simplicity of our program is a real strength in the program and we are always looking at things and testing things, and trying things, and that's part of our process around here. But certainly, nothing that we're going to talk about today or prior to launching it but I would say that we think that simplicity of the program, the ease for customers to understand what they're going to get from us is one of the strengths.
Sara Harkavy Senatore - Sanford C. Bernstein & Co. LLC: Thank you.
Operator: Your next question comes from the line of Will Slabaugh, Stephens. Please ask your question.
Will Slabaugh - Stephens, Inc.: Wanted to dig a little bit more on carryout. I know that's been a focus for you and it sounds like it's driving some pretty strong comps in the current quarters. I was curious with your view on how that's been going versus internal expectations. And in particular, as I think about the sustainability of that business, if you're willing to talk about what percentage of those sales were on deal versus where you thought, and if you feel like you're keeping that carryout customer coming in even when the deal is in front and center?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. We are. I would say that we've been running two messages, we've been running very consistently a carryout message which is not something we have done over a long-term in the past. And so I think the consistency of value that we're giving in carryout has certainly been helping the growth. More stores helps, because people are not willing to go as far as they're willing to let our drivers go to bring them food. And so as we've grown stores, I think that helps our carryout business and the mix of the carryout. And certainly, the reimaging program that we've gone through is going to more directly affect carryout customer than a delivery customer. And so I think there are a number of things that are playing into it.
Will Slabaugh - Stephens, Inc.: Thank you.
J. Patrick Doyle - Domino's Pizza, Inc.: Thank you, Will.
Operator: Your next question comes from the line of John Ivankoe of JPMorgan. Please ask your question.
John William Ivankoe - JPMorgan Securities LLC: Hi. Thank you. The question is really competition for store employees and delivery drivers, in particular. If, even on a very, very local basis, and maybe that's in urban areas, maybe it's not in urban areas where the employment market is getting increasingly tight and a lot of people are just searching for that last-mile driver that maybe has some customer service goals and a well-operated vehicle. So are you guys hearing anything in the system at all in terms of competition for these drivers is getting tougher, whether just availability of drivers or cost of drivers, or quality of drivers relative to maybe what it's been over the past couple of years?
J. Patrick Doyle - Domino's Pizza, Inc.: Yeah. I think there certainly is, although I would say that I think it is more a result of kind of overall employment levels maybe then that's been really kind of competition for those drivers, at least so far. But for those drivers who are listening to this call, my pitch is you're going to be more consistently busy and receiving tips at Domino's than working somewhere else, and that is ultimately what keeps drivers happy is that they're busy. And the more orders they're getting in an hour, the more tips they're getting in an hour and that's ultimately what's going to make it a good earning proposition for them and they do really well with us. And so that's ultimately how we're able to compete.
John William Ivankoe - JPMorgan Securities LLC: And certainly, I understand the tip component. But has there been any change in the relationship at all between the stores and the drivers in terms of a per order fee or maybe what their minimum wage is, what have you, or is the (01:01:27) economic unchanged?
J. Patrick Doyle - Domino's Pizza, Inc.: Well, I mean, in a material basis, no. I mean, has there been a sea change in kind of how we approach it? No. But you certainly have seen some wage inflation as I was saying before. Some of it is a result of minimum wage, but some of it is simply because there are areas in the country where employment levels are strong enough that you're going to have to compete not just with other delivery concepts, but with other employment opportunities for those people. And so there certainly has been some wage inflation on average.
John William Ivankoe - JPMorgan Securities LLC: And then the final question on delivery, could you update us where you are in terms of GPS tracking with drivers? I think that's in four markets, something that's been you've really successful implemented and this actually reduced delivery times getting to the consumer. But where are we in the U.S. with that?
J. Patrick Doyle - Domino's Pizza, Inc.: Yes. We have been actively testing that.
John William Ivankoe - JPMorgan Securities LLC: Okay. If you're not giving more color, that's fine. All right. Thank you.
J. Patrick Doyle - Domino's Pizza, Inc.: You bet. That's it for now.
John William Ivankoe - JPMorgan Securities LLC: Thanks, guys.
J. Patrick Doyle - Domino's Pizza, Inc.: Thanks, John.
Operator: There are no further question at this time. Please continue.
J. Patrick Doyle - Domino's Pizza, Inc.: All right. So thanks, everyone. And we look forward to discussing our second quarter results on Thursday, July 20.
Operator: This concludes today's conference call. You may now disconnect.